Operator: Greetings, and welcome to The PNC Financial Services Group, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. Now my pleasure to turn the call over to your host, Bryan Gill. Thank you, Bryan. You may begin.
Bryan Gill: Well, good morning, and welcome to today's conference call for The PNC Financial Services Group, Inc. I'm Bryan Gill, Director of Investor Relations for PNC. Participating on this call are PNC's Chairman and CEO, Bill Demchak, and Rob Reilly, Executive Vice President and CFO.
Bill Demchak: Today's presentation contains forward-looking information. Cautionary statements about this information, as well as reconciliations of non-GAAP measures, are included in today's earnings release materials, as well as our SEC filings and other investor materials. These are all available on our corporate website pnc.com under Investor Relations. These statements speak only as of 10/15/2025, and PNC undertakes no obligation to update them. I'd like to turn the call over to Bill.
Bill Demchak: Thank you, Bryan, and good morning, everyone. As you've seen, we had an excellent quarter.
Bryan Gill: Building on a great year so far.
Bill Demchak: Our results for the third quarter reflect an impressive performance across the entire franchise. We reported net income of $1.8 billion or $4.35 per share. We grew customers, loans, and deposits and continue to deepen relationships across our businesses and geographic footprint with positive trends in our legacy and fast-growing expansion markets. Our NII growth trajectory continued as expected, coupled with very strong fee growth and well-controlled expenses. And as a result, we delivered record revenue and PPNR, as well as another quarter of positive operating leverage. Credit quality continues to remain strong with a net charge-off ratio of only 22 basis points. While there are obvious potential downside risks to the U.S. economy, our customers remain on solid footing. From a consumer perspective, spending has been remarkably resilient across all segments. And corporate clients are expressing cautious optimism about their business outlook. Ultimately, this is driving a sound economy. Looking at our business lines, we continue to execute on our strategic priorities. Retail banking, consumer DDAs grew 2% year over year, including 6% growth in the Southwest driven by strength across our branch and digital channels. Customer activity in the quarter remained robust with record debit card transactions and credit card spend, as well as record levels of investment assets in PNC Wealth Management, our newly rebranded brokerage business. We continue to invest in our future growth. By the end of the year, we will open more than 25 new branches. And importantly, we remain on track to complete our 200-plus branch builds by 2029. In C&IB, we saw record non-interest income driven by broad-based performance across fee income categories, and pipelines remain strong. Within our asset management business, we continue to see client growth and positive net flows from both legacy and expansion markets, with the expansion markets growing at a faster pace. Before I pass it over to Rob, I wanted to say how excited we are about the recent announcement to acquire FirstBank. Kevin Klassen and his team have built a premier bank in the Colorado region with a focus on strong customer service and an enviable branch network. Upon closing, this deal will propel PNC to the number one market share position in retail deposits and branches in Denver. It will also more than triple our branch footprint in Colorado, while adding additional presence in Arizona. And finally, as always, I'd like to thank our employees for everything they do for our company. With that, Rob will take you through the quarter. Rob?
Rob Reilly: Thanks, Bill, and good morning, everyone. Our balance sheet is on slide four and is presented on an average basis. For the linked quarter, loans of $326 billion grew $3 billion or 1%. Investment securities of $144 billion increased $3 billion or 2%. And our cash balance at the Federal Reserve was $34 billion, an increase of $3 billion. Deposit balances were up $9 billion or 2% and averaged $432 billion, and borrowings increased $1 billion to $66 billion. AOCI at September 30 improved $65 million or 13% compared with the prior quarter and was negative $4.1 billion. Our tangible book value of $107.84 per common share increased 4% linked quarter and 11% compared to the same period a year ago. We remain well-capitalized with an estimated CET1 ratio of 10.6% and an estimated CET1 ratio inclusive of AOCI of 9.7% at quarter end. We continue to be well-positioned with capital flexibility. During the quarter, we returned $1 billion of capital to shareholders, which included $679 million in common dividends and $331 million of share repurchases. And we expect fourth-quarter share repurchases to continue to be in the range of $300 million to $400 million. Slide five shows our loans in more detail. During the third quarter, we delivered solid loan growth. Balances averaged $326 billion, an increase of $3 billion or 1% compared to the second quarter. Average commercial loans increased $3.4 billion or 2%, driven by growth in the C&I portfolio, partially offset by a decline in commercial real estate loans of $1 billion. Growth in C&I was driven by strong new production, particularly in Corporate Banking and Business Credit. And during the third quarter, utilization remained slightly above 50%. Commercial real estate balances declined $1 billion or 3% as we continue to reduce certain exposures. Consumer loans were stable as growth in auto and credit card balances was offset by a decline in residential real estate loans. Total loan yield of 5.76% increased six basis points compared with the second quarter. Slide six details our investment securities and swap portfolios. During the third quarter, average investment securities increased approximately $3 billion or 2%, driven by purchasing activity late in the previous quarter. Our securities yield was 3.36%, an increase of 10 basis points. And as of September 30, our duration was 3.4 years. Regarding our swaps, active received fixed rate swaps totaled $45 billion on September 30, with a received rate of 3.64%. And forward starting swaps were $9 billion with a receive rate of 4.11%. Importantly, our securities portfolio is well-positioned for a steepening yield curve that will support substantial NII growth in 2026. Slide seven covers our deposit balances in more detail. Average deposits increased $9 billion or 2% during the quarter, driven by particularly strong growth in commercial interest-bearing deposits, which were up 7%. Non-interest-bearing balances of $93 billion were stable and were 21% of total deposits. Total commercial deposits grew approximately $9 billion or 5% linked quarter. Growth was due in part to seasonality, but also reflective of both new and expanded client relationships. Our total rate paid on interest-bearing deposits increased eight basis points to 2.32% in the third quarter, reflecting the outsized growth in interest-bearing deposits and the resulting change in our deposit mix, along with slightly higher consumer rates paid. Going forward, we anticipate our rate paid on deposits will decline in the fourth quarter because of the full quarter impact of the September Fed rate cut. Our expectation for additional cuts in October and December. Turning to Slide eight, we highlight our income statement trends. Comparing the third quarter to the second quarter, total revenue was a record $5.9 billion and was up $254 million or 4%. And non-interest expense of $3.5 billion increased $78 million or 2%, which allowed us to deliver more than 200 basis points of positive operating leverage and record PPNR of $2.5 billion. Provision was $167 million and declined $87 million compared to the second quarter. Our effective tax rate was 20.3%, and third-quarter net income was $1.8 billion or $4.35 per diluted share. In the first nine months of the year compared to the same time last year, we've demonstrated strong momentum across our franchise. Total revenue increased $1 billion or 7%, driven by record net interest income and record fee income. Non-interest expense increased $213 million or 2%, reflecting increased business activity as well as continued investments in technology and branches. And net income grew $638 million, resulting in diluted EPS growth of 17%. Turning to slide nine, we detail our revenue trends. Third-quarter revenue increased $254 million or 4% compared to the prior quarter. Net interest income of $3.6 billion increased $93 million or 3%. The growth reflected the continued benefit of fixed rate asset repricing, loan growth, and one additional day in the quarter. And our net interest margin was 2.79%, a decline of one basis point reflecting the outsized commercial deposit growth I previously mentioned. Importantly, our expectation is for NIM to continue to grow going forward, and we still expect to exceed 3% during 2026. Non-interest income of $2.3 billion increased $161 million or 8%. Inside of that, fee income increased $175 million or 9% linked quarter, reflecting broad-based growth across categories. Looking at the details, asset management and brokerage income increased $63 million or 3%, driven by higher equity markets and included positive net flows. Capital markets and advisory revenue increased $111 million or 35%, driven by an increase in M&A advisory activity as well as higher underwriting and loan syndication revenue. Card and cash management revenue was stable as seasonally higher credit and debit card activity was offset by lower merchant services. Lending and deposit services revenue increased $18 million or 6% due to increased activity and client growth. Mortgage revenue increased $33 million or 26%, reflecting elevated MSR hedging activity and higher residential mortgage production. And other non-interest income of $198 million included negative Visa derivative fair value adjustments of $35 million, primarily related to Visa's September announcement of a litigation escrow funding. Notably, we continue to see strong momentum across our lines of business and throughout our markets. And year-to-date, non-interest income of $6.3 billion grew $337 million or 6% compared to the same period last year. Turning to Slide 10, third-quarter expenses were up $78 million or 2% linked quarter. The growth was largely in personnel costs, which increased $81 million or 4% and included higher variable compensation related to increased business activity. Equipment expense increased $22 million or 6%, reflecting higher depreciation related to investments in technology and branches. Importantly, all other categories declined or remained stable. Year-to-date non-interest expense increased by $213 million or 2%. And as we previously stated, we have a goal to reduce costs by $350 million in 2025 through our continuous improvement program, and we're on track to achieve that goal. As you know, this program funds a significant portion of our ongoing business and technology investments. Our credit metrics are presented on slide 11. Overall credit quality remains strong. Non-performing loans of $2.1 billion were stable linked quarter. Total delinquencies of $1.2 billion declined $70 million or 5% compared with June 30, reflecting lower commercial and consumer delinquencies. Net loan charge-offs were $179 million, down $19 million, and represents a net charge-off ratio of 22 basis points. Provision was $167 million, resulting in a slight release of loan reserves primarily due to an improved outlook for our CRE portfolio, reflecting both lower loss rates and continued runoff. At the end of the third quarter, allowance for credit losses totaled $5.3 billion or 1.61% of total loans. In summary, PNC reported a solid third quarter. Regarding our view of the overall economy, we're expecting real GDP growth to be below 2% in 2025 and unemployment to peak above 4.5% in mid-2026. We expect the Fed to cut rates three consecutive times with a 25 basis point decrease at the October, December, and January meetings. Looking at 2025 compared to 2025, we expect average loans to be stable to up 1%. Net interest income to be up approximately 1.5%, fee income to be down approximately 3%, due to elevated third-quarter capital markets and MSR levels, and other non-interest income to be in the range of $150 million to $200 million. Taking the component pieces of revenue together, we expect total revenue to be stable to down 1%. We expect non-interest expense to be up between 1-2%. And we expect fourth-quarter net charge-offs to be in the range of $200 to $225 million. And with that, Bill and I are ready to take your questions.
Operator: Thank you. We'll now be conducting a question and answer session. Our first question today is coming from Scott Siefers from Piper Sandler. Your line is now live.
Scott Siefers: Good morning, everybody. Thank you for taking the question. Rob, I was hoping you could please expand upon your thoughts on the margin for performance and outlook. I guess in particular hoping you could especially touch on that idea of the third-quarter commercial deposit growth, sort of what it might have done to the third-quarter margin? Then why what occurred with the third-quarter margin, meaning just like compression isn't necessarily representative of the path you'd expect going forward. I think you suggested we could still get to like a 3% number at some point in 2026. So maybe sort of the what happened with that deposit growth? What effect did it have? And then what are we looking for going forward?
Rob Reilly: Yes, sure, Scott. Good morning. Let's start with the last part there first. We do, as I mentioned in the comments, we do still expect our NIM to continue to expand and hit the 3% and above sometime during 2026. So no change there in terms of the trajectory. The difference in the quarter was the outsized commercial interest-bearing deposit growth. So we grew $9 billion, which was easily the most that we've ever grown commercial interest-bearing deposits in any quarter, particularly in 2025. And even though we kept our rate paid on commercial interest-bearing deposits flat, to actually down a basis point in the quarter, it affected our NIM because of the mix change. Commercial interest-bearing deposits, as you know, are priced higher than consumers. So when you put that into the weighted average, that costs us four basis points, four basis five basis points on R and D that would have otherwise been there had we not grown those deposits. And I think it's a good question to make sure you understand what's going on there. But it's also a good point a good for us to point out that NIM is an outcome, something that we manage to. So this is a good example. Lots of our commercial clients want to put deposits with us. We can do that in an NII accretive way. It costs us a couple of basis points for NIM and that's a good thing. So going forward, continue to expect NIM to expand. It's just that outsized growth sort of on an apples to apples basis reset at the weighted average.
Scott Siefers: Okay. Perfect. Thank you for that, Rob. And then I was hoping you could just touch on expenses and just a little more thought of why they go up in the fourth quarter. I guess, just given the revenue backdrop, as for my perspective, might have thought maybe a little more lift in the third quarter. I'm just not sure how all the accruals work. Yeah. So it kinda feels like Yeah. Full year would be okay. But you know, curious to hear any of your thoughts in there.
Rob Reilly: Yeah, think the full year is the way to look at it. Because there are some seasonal aspects to some of our expenses. They don't fall uniformly in each quarter. The difference is back in July when we gave full year guidance, we expected expenses to be up for the full year 1%. We're pointing now to 1.5%. But you've got to go back to July. The non-interest income expectation was up 4.5% and we're pushing 6%. So that delta in terms of the outperformance on the fees drove our expenses a little bit higher, but those as you know are good expenses.
Scott Siefers: Yeah. Perfect. Okay. Wonderful. Thank you very much.
Rob Reilly: Yes. Thanks, Scott.
Operator: Thank you. Next question is coming from Betsy Graseck from Morgan Stanley. Your line is now live.
Betsy Graseck: Hi, good morning.
Bill Demchak: Good morning.
Betsy Graseck: Bill, I wanted to understand a little bit about how you're thinking about scale in this environment. I know you've spoken about that recently, but we've had some deals since then. And what should we be anticipating as we move forward here in this timeframe where we have opportunities to maybe move the needle more than we have in the past.
Bill Demchak: I think you should look at our organic growth success. You know, we're particularly in the new markets, where we've laid out a path importantly to be able to grow our retail franchise at the pace we grow our C&I franchise. And that's the whole long term. When we talk about scale, when you have two giants gathering up retail share, unless we can keep pace share in C&I doesn't necessarily do us any good. We're on track to do that. We did the FirstBank acquisition because it was it was kind of a really focused retail gather dominance in a particular state or a couple markets. Opportunity to accelerate what we're doing. But you shouldn't expect that to be the norm. You shouldn't expect us to kinda chase a deal frenzy. You know, we'll look at things should they advise, but you know, we'll be selective as we've always been.
Betsy Graseck: Okay. And then, Rob, on the C&I loan growth very impressive, just want to understand how much of that is NDFI versus non? And then separately on the CRE, commercial real estate runoff, how much longer should we anticipate that's going to continue because obviously taking away from some of the balances here. I'm wondering when we're going to get to CRE actually growing. Thanks. Yeah.
Rob Reilly: Yes. No, that's a good question. Let's answer the second one first in terms of the commercial real estate balances. We expect that to inflect at the beginning of next year. So we're near the end. In terms of the sort of the rundown of those balances. We are doing new deals but as we work through, obviously, the issues in office, etcetera, we'd expect that to turn positive going into 2026. And the first part of the question was? NDFI. NDFI, yes. No growth there. All the growth that we had in C&I was outside of that. I know there's a lot of focus on NDFI. We still feel this isn't part of your question, but it's implied. Feel very good about the credit quality there. The composition, as you know, the vast majority of ours is an asset securitization, bankruptcy remote investment grade clients, and the extent that we're involved with private equity, it's in capital commitment lines that have very low loss rate. So, and the NDFI is not part of our story this quarter.
Betsy Graseck: Okay. Thank you. Sure.
Operator: Thank you. Next question is coming from John Pancari from Evercore ISI. Your line is now live.
John Pancari: Good morning. Good morning, Don. Just back to the margin in NII, want to see if you can I appreciate the color you gave around the deposit dynamics and what impacted the blended deposit cost for the quarter? And maybe if you could talk about left side of the balance sheet in terms of your updated thoughts around fixed asset repricing opportunity. Is that changed at all given the moves along the curve in the ten year? And then also we've had a couple of banks flag some tightening loan spreads on the commercial front. Wanted to see if you're also seeing that impact and how that could impact your loan yields as you look out?
Rob Reilly: Yes, sure. Sure, John. When I broaden that out a little bit for NII. So NII for the full year, we're pointing to up 6.5%. As we go into 2026, as we said previously, we expect that trajectory to continue and actually increase. PNC on a standalone basis, so not including FirstBank. We'll have these numbers for you in January. But PNC Bank on a standalone basis in '26, consensus for NII is growth of about billion dollars and that's we see that and we agree with that. We'll have more for you and update, obviously, in January. But the point is that our NII trajectory is in place, the fixed rate asset repricing is still there going into '26 with momentum.
Bill Demchak: Hey, Jeff. Part of the shortfall against previous guys just in third quarter was was simply the shift or sorry, into the fourth quarter is a shift on our expectation of Fed cuts. So what's hitting us is if they cut late in the fourth quarter, our deposits don't necessarily catch up in the first. So what happens is we'll make a little less in the fourth quarter, make a little more in the first quarter. But nothing has changed whatsoever. In our NII outlook. The only thing has changed is like, a month shifting on when we had cuts, which affects where it lands.
Rob Reilly: And then with the, you know, the end of the calendar there in December, was of we have the the negative effect of that, those cuts occurring in December and the positive happening after December. So that explains why delta of our expectations in NII for Q4 were different than July.
John Pancari: Got it. Okay. Now, you. That's very helpful. And thanks for the color on the 2026 NII. That was good my part B to the question. Therefore, my follow-up would be around the loan growth outlook. What are you seeing right now in terms of broader commercial loan demand? Are you we've had some banks flag still some lackluster commercial demand and not yet seeing CapEx pull through. What are you seeing on that front? Are seeing some strengthening there? Or is it still somewhat a wait and see type of approach?
Bill Demchak: At the margin, I guess, little strengthening, but what we've seen activity in is M&A financing syndications. A utilization I was thinking Rob really hasn't changed. That's what we see. Yes.
Rob Reilly: Hasn't gone down because we we had to pick up in the second quarter. It was sustained to first and the second, and then we held it. Yeah.
Bryan Gill: And we continue to see some solid growth in unfunded commitments.
Bill Demchak: So you kinda back all the moving parts out in the sense that, okay, utilization didn't change. We actually grew balances absent real estate and a pretty healthy clip and our pipelines are strong. So I had a kind of just rephrase my question and things I guess feel good in loan growth outside of this waiting for the inflection in real estate.
Rob Reilly: And and as Bryan just mentioned, I don't know if you'd heard that, our DHE continues to grow, our commitments continue to grow. They're unfunded in some part, but there's when clients put those in place, there's the expectation that they're going to use them.
John Pancari: Got it. Okay. Thanks so much, Rob. Appreciate it. Thanks, Bill.
Operator: Thank you. Next question today is coming from Ebrahim Poonawala from Bank of America. Your line is now live.
Ebrahim Poonawala: Hey, good morning. Guess maybe Rob or Bill, would love to get your perspective on how you're thinking about the right level of capital for PNC. If I look at the adjusted for EOCI at 9.71 of the larger banks brought down kind of where they're operating the bank to 10, 10 and a half. Yesterday. So as a result, not not that that should dictate where you run the bank, but I would love to hear, do you think is 9.5% to 10 is the right place? Is it 9%? Just how are you thinking about it? And is there still Moody's, of course, upgraded some of your ratings or the outlook recently? So is there a push and pull with the rating agencies around this topic? Thanks.
Bill Demchak: Why don't you go ahead and start, Rob? Sure.
Rob Reilly: Well, yes, Ebrahim, good question. Right now, our CET1 is 10.6% on AOCI adjusted just below 10%. So we're in a good position relative to our capital. We had always said that our operating guideline the Basel III N rules and capital rules still fluid that we would operate between ten percent and ten point five. We're at the high end of that. But getting some recent developments, the Moody's that you had cited that was previously a binding constraint. It's possible that we would work to the lower end of those ranges and possibly even lower. But we'll assess all that with our Board as we go into the New Year.
Bill Demchak: Yes. We're going to have to do some work because some of the thought process on the rating agencies has actually changed. And then you know, we'll see what happens with risk-weighted assets and anything that comes out in Basel three proposals. But it's in flux and we are at the high end of whatever that flux might be. Yeah. That's right. That's what I'm putting. Resulted. Yeah.
Ebrahim Poonawala: Got it. And just on the other side of it, I'm not sure, Rob, if you laid out what your expectations on GDP growth going into next year were.
Rob Reilly: But
Ebrahim Poonawala: between loan demand picking up or credit worsening, like what do you see as the more likely outcome? Like do we we expect just between the tax bill and overall and rate cuts to drive loan demand higher? Or are you seeing more increasing businesses come under pressure of a somewhat stagnant economy and that could lead to more credit issues? Yeah. I like you know, I think, and Bill made one jump in here too. Mean, think as Bill said in his opening comments, you know,
Rob Reilly: despite some of the obvious things going on around the world where the economy looks pretty good, And as we go into 2026, we see some strength around the loan growth possibilities that we just talked about. And credit quality is very good. Criticized assets are down, non-performers are flat, delinquencies are down, charge-offs are down, our expectation for charge-offs are down. So feel pretty good. Going into the New Year.
Bill Demchak: The survey that we just did in partnership with Bloomberg with corporate CFOs surprised us to the upside. Majority were bullish not just on their own Actually, vast majority were bullish not just on their own company, but on the economy which kind of surprised me. A big part of that theme was the ability and the work sets they've done to kind of work through tariffs whatever they might be and sharpen up their own companies both in terms of resiliency and just cost efficiencies. You know, and the consumer remains deposits are growing. It's it's we've got a whole bunch of things that could land on us, but none of them are there and none of them are served.
Rob Reilly: And all the leading indicators of the credit are are positive.
Ebrahim Poonawala: Yeah. Got it. Thank you. You.
Operator: Next question is coming from Chris McGratty from KBW. Your line is now live.
Chris McGratty: Great. Good morning. Rob, maybe start on Slide seven, the $9 billion of commercial interest bearing. I'm interested in what in your opinion drove the surge this quarter and whether that's you bring in more on the balance sheet, if there's a change in behavior. What's the, I guess, the outlook as well?
Rob Reilly: Yes. We just it's a combination of things as these things usually are. It's more deposits coming from existing and new corporate clients. In some instances, we did see what were previously our customers had deposits on sweep accounts going into money markets coming on balance sheet because rates coming down on the money market made made it almost a tie or less in terms of putting it with us and all else being equal, they have a relationship with us, they like it with us.
Chris McGratty: Okay. And then and my follow-up would be just year over year, most of the most of the growth has been in commercial. I guess, are your expectations heading into next year with lower rates in terms of mix of deposit growth for the company?
Rob Reilly: So we expect further deposit growth going into next year. And of course, in January, we'll give you our full 2026 outlook. Don't expect big mix changes like we saw here in the third quarter. That could always happen, but that's unusual. I would expect the mix to be fairly stable going into the end of the year and into next year. Could see a little increase in non-interest-bearing deposits in the fourth quarter. See that sometimes, but that's sort of on the margin.
Chris McGratty: Okay. Thank you.
Operator: Thank you. Next question is coming from Erika Najarian from UBS. Your line is now live.
Erika Najarian: Hi, good morning. Wanted worth repeating Rob, given sort of the stock reaction, I just wanted to make sure that investors are taking away the right thing from your response to Pancari's question. You're expecting 6.5% net interest income growth in 2025. Given the momentum in what Bill mentioned retail deposits, remixing also fixed rate asset repricing you expect 26% NII growth to be better than that 6.5% excluding FirstBank?
Rob Reilly: Comfortably, yes.
Erika Najarian: Comfortably. Okay. Perfect. So so add add the word comfortably. So that I'm
Bill Demchak: Yeah. I there seems to be a lot of I mean, let's just hit the issue. There seems to be a lot of confusion because NIM went down totally explained by deposits and then NII felt a little light as we go into our guide. Because of this issue of when rate cuts are. There's absolutely nothing that has changed on our trajectory of forward NII growth. We will be comfortably above $1 billion on top of this year. For twenty twenty six's number.
Erika Najarian: Right. It's just a timing difference. Right? I mean, later later cuts and you know, so far goes down and then yeah. It takes time to reprice deposit. Okay. Well, I you gotta we we hit you with two things. Right?
Bill Demchak: We confused you with deposit growth. So just isolate that for a second. We're corporate yeah. And NIM. So we get corporate deposits in it. SOFR minus something and we put them on deposit at the Fed at SOFR plus something. We have no supplemental leverage you know, issues in our company. So it's just money in the pocket. It hurts our NIM when we do that, but we do that all day long. It's riskless money in our pocket. The the NII on a go you know, the totality of our NII repricing that occurs because of the way we positioned the balance sheet. Has not changed at all. All this changed is one month on our expectations of Fed cuts.
Erika Najarian: Got it. Which become out which
Rob Reilly: had actually a little just a little bit, but Yeah. Just to complete the story.
Erika Najarian: Got it. Just the second question, to switch gears and this is for Bill and Rob chime in as well. I thought it was important given all the recent headlines and also investor concerns about NDFI. To ask Jamie at the JPMorgan call, even what kind of questions to ask the banks in order for investors to assess the risks. So I'll ask you, what questions should investors be asking in order to be comfortable with the NDFI risk on bank balance sheets? We're hearing that frequency and severity should be much lower than a, you know, direct lending, and, you know, the loss history has been pretty pristine like Rob reiterated. So what even are those questions that we should ask to really make sure that we're investing in the right underwriters as we think about potential cycle turn?
Bill Demchak: Yes. So I mean if you want to go down that hole and it is worth discussing. The category is the wrong category. Because there's a whole bunch of things that they bucketed into non-bank financials. One of which which is by far our largest holdings our securitizations to corporates where we basically securitize bankruptcy remote receivables for investment grade corporates. That is very low risk of default and extremely low loss given default. Inside of securitization, we just saw an example of something in the auto space that went bad where it looks like the underlying collateral was highly correlated with the actual corporate itself. Right? So you had auto loans with an auto loan maker. And you might have we'll have to see what comes out of it. Some not very careful follow-up you know, filing of UCC filings and title tracking. I think that's a wild anomaly. Certainly has nothing to do with our book. The other things you look at, we have capital commitment lines that are effectively diversified receivables from large pension funds and investors. That there's never been a loss on. And I think that's pretty safe business. You know, other people will have other things in that bucket, but that's the vast majority of what we have in the bucket.
Erika Najarian: Got it. Thank you.
Operator: Thank you. Next question is coming from Gerard Cassidy from RBC Capital Markets. Your line is now live.
Gerard Cassidy: Hi, Bill. Hi, Rob.
Rob Reilly: Hey, Rob. How are
Gerard Cassidy: In your opening comments, you talked about I if I heard it correctly, 'd reckon debit transactions, this quarter as well as, I think, you said credit card activity as well. Can you just give us some color behind that and what you think how that might continue to flow into the first part of next year?
Bill Demchak: Yeah. I you know, look. The the the credit and debit spend interestingly, is across all buckets. More credit in a lower income. Buckets. I don't know that that can continue eventually. They're gonna hit limitations. You know, most of the consumer spend that you know, has grown year on year is coming, I think, from the wealth effect in the higher end of our you know, wealthy clients. Right, who who see stock market audio, and everything else, and it continues to climb. That's one of the reasons I'm you know, I remain pretty comfortable with the economy. As long as there's consumer spend, and we don't have a big crack in employment that know, it's weakening. But thus far hasn't really fallen. I think the economy's fine.
Rob Reilly: And I'd add to that. I'd I'd ask just for PNC that you know, we continue to add particularly in our newer markets. Debit card and credit card users. So Yeah. That's a big part of why, you know, we're doing what we're doing there as well.
Bill Demchak: Yeah. But but even if I account call hoard Yeah. So we're seeing more total volume, but even by account cohort. The consumer sale continues to continues to spend. And we grow card balances for the first time and Yeah. Yeah. Yeah. A while. Yeah. Largely on new customers. And not not pushing on credit to do that. Just kind of our new card launches. New offers. Yeah.
Gerard Cassidy: Got it. And then as a follow-up, there's been real optimism about the tailwind that we're all expecting with the regulatory changes that are underway. There was a notice of proposed rulemaking today on MRAs, matters that require retention and safety and soundness. So, hopefully, they're not gonna be using them for ticky tacky stuff and helps everybody, yourself and all all the others. As we go forward. But, Bill, can you Rob, can you give us some color on what you're hearing in terms of the encouragement coming out of Washington and how the regulators are working with the industry rather than against the industry. Then if you could also tie in you made a comment a moment ago about Moody's and the rating agency Do you think they're going to be the, capital binding constraint going forward and not the actual bank regulators when it comes to CET one ratios?
Bill Demchak: So let's connect. Go to Moody's here in a second. That there is a strong push out of I would say, Washington broadly to simplify the regulatory process and focus it on things that are material risks. Inside of that, you saw the the MRA proposal that I think if it does nothing else, it will get rid of all the crazy ancillary work we do on minor MRAs. You know, if it's if if you're not in a bank, you don't really understand this. But if we get an MRA and by the way, we get a lot of them for kind of, like, silly things, and you you have to you get the MRA. You negotiate it with the regulators. That's a team of people. Then you write your response to how you're gonna fix the MRA. And then you assign a people who are responsible for the MRA, and then you do set up committees, and then you spend a thousand hours like, fixing some, you know, in the MRA process where you could actually fix the issue that they were concerned about in ten hours. So it if it actually comes out the way they wrote their proposal, it's a massive work set decline inside of our company. Not because we're not going to fix issues, but rather that we're gonna just fix issues, as opposed to talk about them. Months. On capital, it'll be kind of interesting. You know, Moody's had been the binding constraint. But remember, Moody's triggers their ratings off of risk-weighted assets. Also. So when nozzle three endgame comes out, depending on how they calculate risk-weighted assets, Right? That that even if you're supposed to hold, you know, in our example, this you know, we're sitting at 10 to 10 and a half, It could well be that our capital ratio spikes because risk-weighted assets go down because operating risk and or investment grade credit is treated differently. That's our new new definitions. Yeah. So I don't I I think it's way too early to kind of assume who or what is the binding constraint. Till we actually see what comes out of Basel three endgame because the is in Basel three, we're gonna drop risk-weighted assets pretty potentially, pretty substantially.
Gerard Cassidy: And and based on your guys' experience working with both the regulators and the rating agencies, is there a preference on which one you'd rather have be the binding constraint? Not to put you on the spot, but if you don't wanna answer it, that's fine too.
Bill Demchak: Think look. At the end of the day, we're the binding constraint. You know, we we we wanna we wanna make sure the company is is well-capitalized for all scenarios. I don't know that I necessarily you know, let let's assume for a second that everybody completely lost their mind and said risk-weighted assets fell in half. I would say no. That doesn't mean I'm gonna you know? That's right. You know, drop our capital ratio materially below where it is today. I I I just I think I think all the extra external people who look at our capital do so with rough assumptions. Whereas you know, we look at it with great detail. And run the company for the you know, to have you know, Jamie's words of fortress balance sheet independent of what other people tell us.
Gerard Cassidy: Sounds good. Appreciate the color. Thank you.
Operator: Thank you. As a reminder, if you'd Our next question is coming from Ken Usdin from Autonomous Research. Your line is now live.
Ken Usdin: Great. Thanks a lot. Rob. I just wanted to ask you if you could talk a little bit more. You mentioned that deposit cost should be down in the fourth. And and just, you know, furthering this discussion about the commercial growth that you saw this quarter, knowing that's just simply higher rate product. Can you kind of just tell us how then you expect the wholesale track to compare with the retail track as you get down to this next phase of the rate cycle? Yeah. Yeah. So yeah. So we do expect that our rate date will come down in fourth quarter. In fact, it has already come down. You know, and then it's just a question of the betas in terms of the categories. You know, C&I, as you know, can be moved pretty fast. I can get to a 100% beta, maybe not right out of the box, but eventually. High net worth somewhat similar. Retails where it's a little bit slower, just because the rate paid there is still pretty low. This is nothing new. But just in terms of that back book pricing that down, there's not as much of an ability to do that because they're already down. But again, that's that's been the case you know, for a while.
Ken Usdin: Right. Okay. And then on on this just on the commercial growth, it's interesting to you got this new business. You say that partially new customers. So just wondering, like, you keep it at the fed for now. Do you presume this also leads to incremental loan growth? You eventually get the confidence that sticky deposit growth and you put in securities and kinda lock in some more just know, coming back to that this discussion of it's good to get the extra deposit growth. Do you assume it's sticky and kind of what's the best way to maximize on higher cost deposit opportunities like what's happened in the wholesale side this Thanks.
Bill Demchak: I would hope that the industry has learned by now that shouldn't put duration on corporate deposits. Particularly when it's excess cash. Now we do it on, you know, transaction accounts, DDAs that corporates fund for, you know, our GM products. But when they are just floating extra cash, we treat it like it's a duration of a day.
Rob Reilly: I wouldn't mind you some of it for some other
Ken Usdin: Well, I I guess that's still the, you know, the the the the timing debate. Right? You get some great extra deposit growth, but we're still waiting for the, you know, the great, you know, step up on the loan growth side. It was really good this quarter, but that's part of this just, slight timing disconnect with the rates paid versus just sitting in cash. I guess people are just still, you know, looking to understand, like, what kind of inflection do you expect on the loan side. Yeah.
Bill Demchak: Just look. We're I mean, simplify the question. We are very liquid and can support loan growth. You know, activity utilization pop line total commitments have popped, activity this quarter on the back of an M&A was higher. We saw capital markets and imbalances. And, again, if you just back out you you know, the continued decline in real estate that will inflect. Like, we didn't have that. Our loan growth year on year would have I don't know, would've been a big big number. Yeah. C&I absent absent real estate, you know, that's likely to continue.
Rob Reilly: And then select in the at the beginning, like, '26 said earlier. Shit.
Bill Demchak: Yeah. And can't do. I mean, it's accretive. So we're sitting here. Deposit at the feds isn't bad. We're making money. Yeah.
Ken Usdin: Absolutely. Yeah. Okay. Great. Thanks, guys.
Operator: Thank you. Next question is coming from Mike Mayo from Wells Fargo. Your line is now live.
Mike Mayo: Hey. Bill, can you expand more on the potential benefits of less regulation the cost of MRAs, You know, like, how much could this potentially save in expenses? When you throw it all in together, like, the examination, the MRAs, the the more of the ticky tacky process oriented stuff, and they're moving more toward just plain old financial strength like in the old days. Like, how much do you spend? How many people are dedicated to some of those efforts that might go away at some point?
Bill Demchak: Yeah. It's a good question, Mike. And I don't know that I mean, it's just out, so I don't know that we've tried to quantify it. But, I mean, it's it's you know, an FTE equivalence. It's hundreds and hundreds of people. That that are just you know, tied up the oh, what's the best number I can get? BPI put out something like, a year ago. You need to go back and look at it where we talked about the number of hours, man hours, the banks are have increased on MRA compliance. Since, like, 2020 or something. And it was it was a clean double, if not more. Since it what they're talking about is a material change in You know, we'll have to work our way through, but what that actually means. You know, importantly, it doesn't mean we're gonna back off on what we actually do to monitor it monitor risk including appliance and some of the things we used to you know, get MRAs for that we won't get anymore. It just means that we won't have all the process around it. And the process is what kills us. It's not actually the work to fix things. It's the it's the documentation and the and the meetings and the committees and the secretaries of the committees and the and the follow-up. It's just it it's I mean, you can't even imagine how bad it is unless you actually sit in a bank. And then if they actually get just to clean it up, it's something.
Mike Mayo: No. It's it's we all that's our job is to try to quantify these things. But just as far as how much of your time it takes, if you go back say, twenty years ago, how much time you spent on these things, and then after the financial crisis, how much time you spent? And then two years ago, I think peak regulation, how much time you spent, and now kind of where you are today. Like, how would you spot something like that?
Bill Demchak: Twenty twenty years ago is actually a bad time period for PNC. So you're you're one of the few that's around back then. We spent a lot of time on regulatory stuff, but that was us, not the system. It know, it's just increased through the years. You know, our board, you know, the best example is the amount of time our board spends. Reviewing you know, nonstrategic ticky tacky MRA related regulatory stuff. You know, it's gone from something we never really talked about in the ordinary course to you know, half of our time spent with our board.
Mike Mayo: So half the time that you spend with your board is on regulatory matters?
Bill Demchak: I'm just thinking through, you know, we have a we have, you know, compliance committees So so assume risk committee, compliance committees, tech committees, they all own you know, MRAs that we need to report out on. It's a lot. I mean, we're we're gonna have to that announcement was a massive announcement. And we'll see how it plays out. Industry has to do a lot of work to figure out what that actually means. We're kinda numb from the existing process, so we'll have to see But it's it's it's a lot of it's a lot of FTEs.
Mike Mayo: Alright. We'll we'll stay tuned. Thank you.
Operator: Thank you. Next question is coming from Matt O'Connor from Deutsche Bank. Your line is now live.
Matt O'Connor: Hi, Bill. Wanna follow-up on your comment about not chasing M&A. I guess if that's the case and you know, you've got all of capital and operating leverage and desire to get bigger. Like, thoughts on just leaning in from your organic point of view, whether it's you know, additional ramp up in branches, maybe leveraging the deal Bankers, Or just how are you thinking about organic opportunities to maybe accelerate some of the growth?
Bill Demchak: Well, you know, we've been going at that pretty hard, and you'll see you know, in our in our plans that, you know, the capital that we put behind branch builds you know, we we talked about, hey. We completed 25 this year, but that 200, like, we have sites out there. We have construction going on, and we're gonna continue this. You know, into the foreseeable future. So this wasn't kind of a onetime announcement. And then we're done. You'll see us continue to roll this investment into you know, important markets that to get over that 7%. Kind of branch share. CNI we can grow at pace. You know, we we add bankers to our newer markets as we kinda fill client plates with the bankers we have. And the growth opportunity there you know, continues for years. And that's about people and brand and kinda persistence. In calling with good ideas. So that that one, I don't worry about. It's just this retail share where you know, you have to get this isn't just you know, see in my view, if you wanna be in the retail banking business, until you get sufficient share to be able keep your retail clients who move around the country Like, you you gotta drop the attrition rate. And I think you're at a disadvantage to these giant banks, and I think they continue to gobble it up. And so have a path to get there organically. Know, people get all everybody's all excited about M&A, but there actually aren't many visible sellers who have any of decent retail share. Part of the reason a lot of these guys are selling is because they don't have an answer to this question. You know, one of the deals we've recently seen is actually, you know, they were the extreme position of simply having corporate deposits. In a struggling retail franchise. So, you know, think about how I might look at that deal. That actually exacerbates our problem. It doesn't help it at all. Right? We we need real honest retail share, which is what got us so excited about FirstBank. You know, that's what they do. Clean deposits, clean branches, great customer service. Low cost deposits, You know, when we talk about scale, that that's the thing we're always talking about. Everything else, we can grow organically with no worries.
Rob Reilly: Yeah. Just add just add to that, Matt. I mean, the organic growth opportunity that we have ahead of us is is got us excited because the organic growth contributions to everything in our company and every business line are substantial.
Bill Demchak: We're seeing higher growth rates and corporate than the expansion markets, higher growth rates in asset management, higher growth rates in retail. We are one of the things we're gonna have Alex and Bev. But we not said it? We have not said it. Oh, oops. We have not We're gonna we're gonna detail in one of the upcoming conferences the success we've had over the last you know, we've been at it for a handful of years, but but the success, progress, and momentum inside of our retail franchise which gives us a lot of comfort that while it might take longer, we're gonna succeed at this.
Rob Reilly: And it is happening.
Bill Demchak: From, you know, DDA growth, customer set, number of products owned, lot of a lot of good positive signs that give us comfort we can do this organically.
Matt O'Connor: That's helpful. And then just specifically on the pay of the branch openings, I mean, just step back and say, you know, we we thought in the next M&A cycle, there might be something bigger we could do at a reasonable price. Now that's probably not to be the case. So let's kind of double or triple down the efforts. Mean, I know there's only so much you can build out of time, but you're a big company, lots of leads. I would think you could do multiple of what kind of what what you've put out there. If if you wanted.
Bill Demchak: Yeah. It's we're actually you know, part of it is we're building on what we've historically done. I think we're we're doing, like, twice or three times the pace of what we did a year before. So having to scale our internal group that actually does that. Site selection, know, takes time. And then the actual builds, you know, if we have a 150 bills going on right now, I gotta manager each one of those sites. So we gotta scale all of that. But you're right. As we kinda build this skill set, which we haven't exercised for a bunch of years, we could accelerate it if we wanted to. And the other thing, you know, people's like, why why are you building branches? We still have branch probably more branches in the country than we necessarily need in the long term. PNC doesn't necessarily have the branches in the markets. We need saturation. And then importantly, you know, a lot of the banks that you might say, hey. Why don't you buy this or why don't you buy that? Their branches are in a state that we might as well just build them. From scratch anyway. Yeah. They're in the wrong place. They're all They don't really have real retail customer relationships. A lot of it's brokered, and it's real estate. So that's not gonna be the answer to how we fill this in.
Matt O'Connor: Okay. All those details were helpful. Thank you.
Operator: Thank you. We've reached the end of our question and answer session. I'd to turn the floor back over to Bryan for any further or closing comments.
Bryan Gill: Well, thank you, Kevin. And thank you all for joining our call today. If you have any follow-up questions, please feel free to reach out to the IR team.
Bill Demchak: Thanks. Thanks everybody. Thank you.
Operator: Thank you. That does conclude today's teleconference webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.